Operator: Good afternoon, ladies and gentlemen, and welcome to the AvalonBay Communities Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] I would now like to introduce your host of today's conference call, Mr. Jason Reilley, Director of Investor Relations. Mr. Reilley, you may begin your conference.
Jason Reilley: Thank you, Jessica, and welcome to AvalonBay Communities' fourth quarter 2012 earnings conference call. Before we begin, please note that forward-looking statements may be made during this discussion. There are a variety of risks and uncertainties associated with forward-looking statements and actual results may differ materially. There's a discussion of these risks and uncertainties in yesterday afternoon's press release as well as in the company's Form 10-K and Form 10-Q filed with the SEC. As usual, this press release does include an attachment with definitions and reconciliations of non-GAAP financial measures and other terms which may be used in today's discussion. The attachment is also available on our website at www.avalonbay.com/earnings, and we encourage you to refer to this information during your review of our operating results and financial performance. And with that, I'll turn the call over to Tim Naughton, CEO and President of AvalonBay Communities for his remarks. Tim?
Timothy J. Naughton: Thanks, Jason, and welcome to our fourth quarter call. Joining me today are Sean Breslin, EVP of Investments and Asset Management; and Tom Sargeant, our Chief Financial Officer. We will each have some prepared remarks today, totaling about 30 minutes, and then the 3 of us will be available for questions. I'll start by summarizing our results for the quarter and accomplishments for the year, and then spend a few minutes discussing the fundamentals supporting our outlook for 2013. Sean will follow and provide additional color on our markets and update you on recent transaction activity. And Tom will then summarize our capital markets activity for the year, provide an overview of key liquidity and balance sheet metrics and finally share some more detail about our consolidated financial outlook for 2013, including some of the impacts of the planned Archstone acquisition. To begin, last night we reported EPS of $1.19 and FFO per share of $1.27, a 6.7% increase over the fourth quarter 2011. Adjusting for non-routine items, which included transaction and financing cost related to the Archstone acquisition as well as expenses related to Superstorm Sandy, FFO increased nearly 16%. For the full year 2012, FFO per share of $5.32 represents a 16.4% increase over 2011. After adjusting for nonroutine items in both years, FFO increased by 18.5%. And concurrent with our release last night, we announced the 10.3% increase in our dividend. 2012 was a very good year for the company on a number of levels. Strong apartment fundamentals supported same-store revenue growth of 5.8%, and propelled solid lease-up performance at many of our new communities. Same-store expense growth of just 1.8% contributed to same-store NOI growth of 7.6%. We continued to actively invest in our business. During the year, we completed the development of 8 new communities for a total capital cost of $515 million. These communities were delivered on time, $15 million under budget, with initial yields that are in the mid-7% range or up 25 basis points ahead of original expectations. We started 12 new developments, they have an estimated total capital cost of just under $900 million, and at year end, we had about $1.8 billion under construction. Then we continue to replenish the pipeline in 2012, adding 14 Development Rights, totaling $1.1 billion in projected capital investment. We continue to grow and expand our redevelopment platform, as we completed 11 redevelopments with an incremental capital investment of about $105 million. Similar to our development accomplishments, collectively, these redevelopments were completed on time, under budget and outperformed pro forma. We purchased 4 wholly owned assets and completed our final acquisition for our second investment management fund. We also sold 4 wholly owned assets in connection with our broader portfolio management objective, continue to liquidate our first investment management fund and completed the company's planned exit from the Chicago market. In 2012, we began to implement our branding strategy across the portfolio. So far, new brands, AVA and Eaves by Avalon, have been very well received by the market. And by year end, we had converted 37 communities to Eaves through reflagging or redevelopment, add 14 AVA communities in operation or in development or redevelopment. By the end of 2013, we expect to have 64 Eaves and 24 AVA communities in operation or production as a result of additional investment activity and the integration of the Archstone portfolio. We believe these 3 distinct brands will differentiate our offerings to the market and allow us to further expand our presence across our footprint. And finally, as you know, in late November, along with our partner Equity Residential, we announced an agreement to acquire Archstone from Lehman for $16 billion. We'll be purchasing 40% of Archstone, which represents 66 apartment communities, containing over 22,000 apartment homes, 3 land parcels and a few joint venture interests. As part of the acquisition, we'll be adding approximately another $1 billion to the development pipeline, with about $300 million of that currently under construction. We are extremely excited about this transaction as it provides an excellent opportunity, to add an attractive collection of assets while complementing our existing portfolio on 3 important dimensions: market concentration, submarket positioning and price point. In addition, this acquisition provides scale benefits in terms of market presence, brand penetration and G&A leverage, each of which should strengthen our competitive position over time. We're making great strides in our integration efforts to bring this portfolio of many talented associates from Archstone over to AvalonBay and are on track to close at the end of February. Turning now to 2013. We expect that apartment fundamentals will remain healthy, but that demand and supply will be more imbalanced than what we've recently experienced. Our expectations for our markets in 2014 and '15 is even more positive, as demand/supply fundamentals should gradually improve over the next 2 to 3 years. Over the last couple of years, rental housing has benefited from a unique combination of historically low supply, modest job and economic growth, a sluggish for-sale market and fragile consumer confidence. While we might expect certain aspects of this pattern to continue into this year, there's likely to be some important differences as well that'll impact fundamentals and the longer term outlook for our business. The consensus outlook to the U.S. economy calls for moderate growth again in 2013, on the order of 2.5% for GDP and a little over 1% for jobs. But there are some important differences as it relates to the sources of growth in 2013 and how that should position the economy going into 2014 and '15. First, while business profits are expected to flatten this year, business investment is rising. The company has begun to put some other healthy cash balances to work. Consumer's balance sheet has improved as well due to reduced debt loads, gains in wealth from the equity and real estate markets and modest improvements in incomes. As a result, consumer confidence is on the rise, which will provide important support for economic growth in the rate of household formation. The recovering housing market and higher production levels should also bolster private sector growth, particularly as the economy absorbs the impact of any fiscal drags that may come from Washington. And while public sector spending may see some retrenchment at the federal level, state and local governments are better positioned, as job losses have tapered off at the state and local level. So overall, while the outlook for the economy is for modest growth in 2013, the composition of that growth, led by the consumer and private sector business, could help put the economy in the glide path toward sustainable growth. The combination of improved consumer confidence and historically low interest rates seemed to have finally stimulated recovery in for-sale housing. New and existing home prices and sales volumes are on the rise, inventories are down significantly and excess vacancy has effectively been absorbed. Home ownership rates may have bottomed, and going forward, the apartment industry is less likely to benefit from higher renter capture rates to support demand. We expect that housing demand will be more balanced over the next 2 years, much like it was in the 2 or 3 decades before the 2000's when homeownership rates were stable and before various housing and monetary policy actions distorted demand dynamics. More balanced housing demand will continue to be supported by demographics as the prime renter cohort, those ages 25 to 34 continues to grow. This segment of the population is expected to increase by 500,000 in 2013. Additionally, these young adults continue to be reluctant or unable to buy either due to lifestyle or flexibility needs and/or financial and down payment constraints. Homeownership rates among this age segment are down over 700 basis points nationally from the peak, about 2x that with the overall population. In addition to the demographic growth and rising rental propensity from this age segment, they also represent the largest source of pent-up demand. Third parties estimate that there are 1 million to 2 million young adult households yet to be formed and still on tap, many of them still living at home with their parents. The sudden bundling is an important source of potential apartment demand and should help offset the impact of an improving for-sale market. In fact, there is some evidence that this is already starting to occur, as the level of household formation has risen materially despite any pronounced improvement in the job market. Household formations are now increasing at a rate of more than 1.1 million per year, which is well above total housing production levels. As a result, virtually all of the excess housing vacancy we've had in the U.S. over the last several years has been worked off. So overall, we're pretty optimistic about housing demand this year and expect total apartment absorption to be higher than it was in 2012. But of course we know that supply, in the form of new apartment deliveries, will be higher as well in 2013. And AVB markets, they'll be above long-term trend. This is normal during the mature phase of an economic expansion. What is unusual in this cycle, though, is that the supply is coming to some of the coastal markets earlier than normal. Historically, the supply response in our coastal markets has lagged the overall U.S.. But in this cycle, a combination of capital preference for coastal markets, along with a number of entitled infill and urban sites left over from last cycle, has resulted in an earlier supply response. Interestingly, we expect deliveries to peak in our markets in 2013 but not for the rest of the country. Given high entitlement cost in the places we do business and capital recently migrating to a broader mix of markets, we do expect historical patterns of more limited supply in our coastal markets to play out in 2014 and beyond. At 2013, new deliveries will be most elevated in D.C. and Seattle at over 3% of stock and lowest by far in Southern California, which will deliver about 0.5% of stock. DC will be the most affected by new supply given the impact of fiscal retrenchment on job growth in that market. Starting in 2014, we do see more supply shifting back to the commodity Sunbelt market. In additions, rising land and construction costs may temper new starts further, which would have a dampening effect on new deliveries in 2015 and beyond. So 2013 may well prove to be a transitional year for apartment fundamentals, particularly in our market. Elevated apartment supply, modest and flat job growth and a for-sale housing recovery may provide some headwinds. It should be offset by some positive factors such as the continuation of favorable demographics, stronger household formation rates and total housing production values that are in line or below total housing demand. As we look out to 2014 and '15, we like what we see in our markets, as we expect supply to begin to flatten and then decline during a period when the economy is projected to strengthen and pent-up demand materialize. As a result, we expect this period of healthy growth for the sector will likely continue for a few more years and perhaps even reaccelerate in 2014 and '15 when demand supply fundamentals appear even more favorable. And with that, I'll like to turn the call over to Sean to provide additional color on our markets and transaction activity. Sean?
Sean J. Breslin: Thanks, Tim. As Tim mentioned, I will comment on portfolio performance during the quarter and for the full year, discuss our market level outlook for 2013 and provide an update on our recent transaction activity. Obviously, 2012 was a good year for the portfolio, fourth quarter year-over-year same-store rental revenue increased 5%, consisting of a 4.7% increase in rental rates and a 30 basis point increase in occupancy. For the full year, rental revenue increased 5.8%, midpoint of our original 2012 outlook. Expenses remained largely in check, increasing just 1.8% over the prior year. This increase was driven largely by higher property taxes and insurance expense, as all other expenses actually decreased year-over-year. For the year, same-store NOI increased 7.6% relative to 2011. From a revenue perspective, Seattle and Northern California continued to outperform, posting 11% and almost 10% revenue gains, respectively, as compared to the fourth quarter of 2011. Sequentially, rental revenue in each region increased by about 150 basis points during the quarter. Strong, good job growth, roughly 3% over the last 12 months, largely driven by the tech sector along with manufacturing and resale trade in Seattle continue to generate new higher earning renters. Shifting to the East, mid-Atlantic is continuing to face headwinds due to fiscal uncertainty and new supply in certain submarkets. On a year-over-year basis, rental rates increased 2% while occupancy declined by about 20 basis points. Although the broader D.C. Metro area continues to soften, certain infill pockets of the region and certain types of assets continue to hold up relatively well. For example, our Park Crest development in Tysons Corner averaged 25 leases per month during the quarter with rental rates that are roughly 8% above our original pro forma. And secondly, our first full AVA development, AVA H Street in Northeast D.C., has averaged 18 leases per month since it opened in Q4 with rents that are also about 8% above our original estimates. This unique product, with its highly efficient, smaller floor plans and socially activated common spaces, has been very well received by the target AVA audience and is currently above 30% leased. Moving to the Northeast portfolio, healthy job growth and minimal new supplies supported year-over-year revenue growth of 4% in Boston during the fourth quarter. In Metro New York/New Jersey, modestly higher levels of new supply are being absorbed relatively easily in New York City, but weakness in the financial services sector and local government cutbacks are presenting some challenges in Westchester County. Our new development communities in the New York/New Jersey region continue to perform well. We completed 2 communities in the fourth quarter of 2012, Avalon Green in Greenburgh, New York and Avalon Wesmont in Wood-Ridge, New Jersey. Both communities produced a yield on cost between 7.5% and 8% as compared to trading cap rates that are in the low 5% range. Lastly, Southern California remains on its steady and improving trajectory. For the quarter, rental rates increased 4% and occupancy increased 80 basis points. Job growth continued to accelerate in Southern California and is now running at a pace of 1.3% over the past 6 months, the third strongest of our portfolio behind Northern California and Seattle. Disney, Bank of America, Boeing and Kaiser Permanente are all adding jobs in Orange County. In L.A., employment gains are pretty broad based, including the healthcare, leisure and hospitality sectors, along with the information services firms that produce content for all of our various mobile devices. And in San Diego, although job growth has been choppy given the influence of the military, it has exceeded 1.5% over the past 6 months. New supply remains very low in Southern California with the exception of the Irvine submarket in Orange County and Mission Valley in San Diego which should support healthy rent growth in 2013. Shifting to recent performance and how the portfolio is positioned today, total rent change, which represents the blend of both renewals and new move-ins, averaged 3.6% in the fourth quarter of 2012, matching what we did in Q4 2011. Occupancy is currently about 96%, roughly 50 basis points higher than at this time last year, with availability at a little over 5%, roughly 40 basis points below last January. January's committed renewals are in the mid-5% range and February and March renewal offers went out in the mid-6s, which is 75 to 100 basis points below renewal offers we sent out during Q1 2012. Turning to our same-store outlook for the full year 2013, we anticipate same-store rental revenue to increase between 3.5% and 5%. Similar to 2012, we expect Seattle and Northern California to outperform. While job growth is forecasted to moderate from the 3% level experienced in 2012, it is still projected to be at or above 1.5% in both markets during 2013. And new supply in these 2 regions will be relatively concentrated in certain submarkets, primarily in or near the downtown core in Seattle and in the Central and Northeast submarkets of San Jose. Rent gains will likely moderate from what we enjoyed in 2012 but should nonetheless be healthy. For example, Q1 2013 renewals went out between 7% and 9% in both regions, pretty consistent with the north of 8% renewal increases we achieved during Q4 2012. We expect the mid-Atlantic to underperform the rest of the portfolio in 2013. In addition to elevated levels of new supply throughout the year, an uncertain fiscal situation which is putting downward pressure on job creation will generate headwinds during at least the first half of 2013. Similarly, we expect revenue growth in the New England region to decelerate throughout the year and slightly underperform the portfolio average during 2013. In Boston, job growth is projected to slow from a trailing 12-month average of roughly 2% to about 1.5%. Additionally, new supply in the urban core and a strengthening housing market will slow the pace of rent growth. In Fairfield County, the projected softness in financial services employment and the impact of new supply will result in relatively modest revenue growth. In the middle of the pack, we expect relatively healthy performance in both the Metro New York/New Jersey and Southern California regions. Job growth in the technology sector, particularly software and content development, continues to foster apartment demand in New York and Northern New Jersey. In Southern California, broad-based, steady job growth is expected to continue while new supply will be the most constrained of any region in the country. Both regions are expected to produce revenue growth consistent with or slightly above the portfolio average. Moving onto our non-Archstone transaction activity during the fourth quarter, we acquired a $140 million community in Burlington, Massachusetts. This community contains 203 apartment homes located in a supply constrained submarket near a multiple employment centers and was rebranded to an Eaves community. We disposed of 2 wholly owned assets during the quarter, both of which are located in Everett, Washington. These assets contained 625 apartment homes, were sold for about $95 million, had a weighted average holding period of approximately 12 years and generated an unlevered IRR of about 9.5%. In addition to the Everett assets, we generated a $2 million gain via the sale of an asset in Seattle, which is owned by a third-party, and in which we held a residual interest. We also continued to sell assets from our first investment management fund. We sold 3 Fund I assets during the quarter, 1 in New Jersey and 2 in Northern California. These assets were sold for a total of about $190 million at a weighted average cap rate of about 5.2%. In addition, we sold a Fund I community in San Francisco for $103 million in early January this year. This community, which included 160 apartment homes and a 32,000 square foot Whole Foods store, traded at a residential cap rate below 4%. There are 10 assets remaining in Fund I, representing about 45% of our original cost basis, all of which will be sold over the next couple of years. And with that, I'll turn the call over to Tom for his remarks. Tom?
Thomas J. Sargeant: Thanks, Sean. As Tim mentioned, I'll spend a few minutes on capital markets activity for 2012. I'll provide an update on our liquidity and balance sheet and then discuss our 2013 outlook. Increased investment activity in 2012 and planned investments in '13 required a number of trips to the capital markets, that total over $3.7 billion. Outside of Archstone-related capital, we raised $750 million, $300 million in equity and then $450 million in debt. In connection with Archstone, we raised about $2.4 billion of new capital in a stretch of about 10 days, which essentially pre-funded the transaction expected to close next month. We issued approximately 16.7 million shares of equity at a $130 per share and executed a $250 million 10-year unsecured offering at a 2.85% coupon. There is dilution from this pre-funding in both 2012 and 2013, and we'll discuss that more when we get to the outlook. Finally, on capital, we did expand our credit facility to $1.3 billion, that's up from $750 million. We also extended the facility's term out into 2017, reduced the rate and we lowered the fees. These large, well executed capital raises over a short period was positive affirmation by the market of the Archstone transaction, and combined with the balance sheet that was well prepared for this opportunity when it was presented. Looking at the balance sheet today, we're carrying about $2.8 billion of cash that diluted fourth quarter earnings, and that dilution continues into the first quarter. This will largely be resolved next month when we close on Archstone, at which time will fund about $670 million of cash and repay approximately $1.7 billion of Archstone-assumed debt. This would leave us with over $400 million of cash on the balance sheet and full borrowing capacity on our line to fund ongoing investment activities. Other year end balance sheet metrics are equally strong, debt to market cap was 20%, interest coverage was 4.7x and our unencumbered NOI for the year was 73%. Turning to the outlook. As discussed -- or as disclosed on Attachment 15 and 16 in last night's press release, we expect 2013 to be another good year for the company. It's important to note that expensed, onetime transaction costs related to Archstone are embedded in our asset outlook as well as dilution from the pre-funding of the transaction. We included a table in the outlook that provides a roadmap between FFO and adjusted FFO of $6.15 per share that excludes these onetime costs. However, the projected FFO of $6.15 per share in the table is burdened by much of the capital cost for the entire year, and only benefits from a portion of NOI we expect to receive. Accordingly, the $6.15 is not a stabilized FFO per share that we expect to achieve from a full year of ownership of the portfolio. Pre-funding the Archstone transaction resulted in $2.4 billion of excess cash, which is $0.15 dilutive to first quarter earnings. We would encourage investors to consider the full year outlook and make appropriate adjustments to stabilize the first quarter to get a full picture of our expected stabilized FFO, including the Archstone portfolio and the related capital costs. Now getting into the operating details of our outlook. We expect same-store NOI to be -- to increase between 4% and 5.5%, revenue growth to increase 3.5% to 5% and expense growth of about 3.5%. This expense growth is most pressured by property taxes and insurance, both driven higher by rising asset values. As we mentioned in the past, our seasoned tax and risk management teams work hard to mitigate this exposure. And we are adding to these teams in 2013. Shifting to investment activity. Development remains attractive, and we expect to start $1.5 billion of new construction in 2013. This includes 2 Archstone deals totaling about $200 million. In addition, we'll acquire 6 deals under construction with about $100 million left to fund. Our outlook assumes $300 million of non-Archstone related acquisition activity and about $400 million of non-Archstone related sales. We will also continue to sell assets related to our Fund I and opportunistically sell assets from Fund II. In terms of liquidity, we plan to source between $700 million and $900 million of new capital in 2013. We desire to bring down debt to EBITDA with NOI growth and less debt. Accordingly, it is unlikely that we will issue new unsecured debt in 2013. This would result in a charge to earnings as we prepay the swap we entered into in 2011, at a cost of about $55 million. We repriced that swap today, and the settlement is now close to about $50 million. This settlement along with other prepayment fees related to the Archstone debt totals about $111 million and is included in our schedule of non-routine items listed in the press release. Finally, our board approved a 10.3% dividend increase earlier this week. The 10.3% increase is supported the performance of our core portfolio, future growth prospects of our development pipeline and the Archstone acquisition. Most importantly, given all of the non-routine expenses and partial year impact of the Archstone transaction, we believe this dividend increase closely approximates a new rate growth in consolidated recurring cash flow once the Archstone portfolio and the related capital markets activity is fully stabilized. And with that, Tim, I'd like to turn the call back to you.
Timothy J. Naughton: Thanks, Tom. Obviously, 2012 was a very exciting and active year for AvalonBay. Now we introduced and implemented our branding initiative, invested significantly in our business across all growth platforms, announced the acquisition of Archstone, which will grow the enterprise value the company by about 40% and generated very strong earnings growth for the second consecutive year. Looking to 2013, we remain optimistic about our growth prospects. We look forward to sharing our thoughts and plans with you over the course of the year. And with that, operator, we'd like to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Gaurav Mehta from Cantor Fitzgerald.
Gaurav Mehta - Cantor Fitzgerald & Co., Research Division: First question that I have is on 2013 guidance. So your same-store revenue guidance of 3.5% to 5%, what's the operating strategy behind achieving that in terms of are you planning to push -- how much rent are you planning to push next year on the upper end and the lower end of the guidance?
Sean J. Breslin: Yes, Gaurav, this is Sean Breslin. We run revenue management similar to most of our peers. And so it's a blend of occupancy shifts and rental rate shifts that's really pretty dynamic. And it gets down to knowing the asset level, but the unit-type level in terms of whether 1 bedroom, 2 bedrooms or 3 bedrooms are performing better or our townhomes versus flats, so there's not one precise answer other than we're trying to optimize revenue, which means potentially different strategies in different markets, depending on supply/demand dynamics as well as the supply/demand dynamics at the asset and the submarket level. So there's not one generic answer to that question, unfortunately.
Gaurav Mehta - Cantor Fitzgerald & Co., Research Division: Okay. And then I want to go back to your initial comments on your 3 different brands. I think you mentioned that all the 3 brands are being very well received in the market. So I was wondering if you could talk about if you are seeing any different in operating metrics among the 3 brands in terms of like your ability to push rents more on the Avalon side or AVA side or Eaves side?
Timothy J. Naughton: Gaurav, Tim Naughton here. It's still too premature to talk about it in terms of those operating metrics. I mean one of the things we have, you look at -- I think Sean have mentioned, AVA H3, in terms of how well received that's been in a market, where rents have outperformed our expectations there. And I think that's one of the things that we've been pretty consistent in saying, as we think in many ways the benefit's going to be on the return on initial capital as it relates to delivering a distinct product to a targeted segment as opposed to trying to deliver a product that appeals to multiple segments where oftentimes you overprogram the community. And I think that was a -- that community is a really good example, it's not trying to be all things to all people, it really seem to hit a mark in that particular submarket and we're being rewarded with it with a very healthy yield relative to what you might normally expect in the Washington market.
Gaurav Mehta - Cantor Fitzgerald & Co., Research Division: Okay. And last question that I have is on Archstone acquisition and how that impacts your development pipeline. Tim, on the last call, you mentioned that your development pipeline is running around 11% of market cap. So now that you're acquiring the Archstone portfolio, does that change your outlook on how big your development pipeline can be from organizational capacity or how much you want to grow?
Timothy J. Naughton: Gaurav, we are already planning on growing the pipeline next year. Without the Archstone acquisition, the pipeline would've gone from about $1.8 billion to about $2.5 billion by the end of the year. With the acquisition, it will go to about $3 billion by the end of the year. So it does grow the pipeline by about 20%, if you will, which is about the same percentage if you just look at the numbers I've mentioned before. We're going to bring about $1 billion of new development in, including what's under construction, on top of a pipeline that is currently about $4.6 billion. Now we are bringing some new development and construction folks along as well, so we are growing the capacity of the group commensurate with the amount of production that we expect as a direct result of the Archstone deal. And we do think, particularly as you look out to the next cycle, that this allows us to scale up other development platform maybe not exactly commensurate with the 35% or 40% growth that we were bringing on, but pretty close in our sense. So next year, we're expecting $3 billion, peaking at around $3 billion, it'll be about 13% of enterprise value, so it's actually up from 11% right now. But we -- if it have been planned, that would have been up into the 14% to 15% range anyway, so we're maybe -- it's maybe diluted by about 100 to 200 basis points from what we would have been -- where we would have been in an event we hadn't done the acquisition.
Gaurav Mehta - Cantor Fitzgerald & Co., Research Division: Okay. And then, the last follow-up question. On the last call you mentioned that you have been adding most resources on the development side in Southern California and that you could start 2 to 3 deals that year in that region. Now that you have acquired the Archstone portfolio, it's going to increase your exposure to Southern California quite a bit compared to what you had earlier. And so does your previous view still hold in terms of development in Southern California?
Timothy J. Naughton: It does. Even at that level, Gaurav, it's not kind of an over-index, if you will. This transaction, one of the things we liked about it, as we talked about, was market concentration. It gets us very close to where our long-term target -- our targets have been across different geographies. But Southern California, we think, is scaled appropriately relative to how we want to continue to grow our presence in that market relative to the overall portfolio.
Operator: Your next question comes from the line of Ross Nussbaum from UBS.
Ross T. Nussbaum - UBS Investment Bank, Research Division: I'm here with Derek Bower. A couple of questions for you. First, on Archstone, can you give us any color on how that portfolio performed in the fourth quarter and what your expectations are for same-store growth from Archstone relative to what you think your existing portfolio is going to do in 2013?
Sean J. Breslin: Ross, this is Sean Breslin. One thing that we looked at in completing the transaction is sort of the long-term growth rate of our existing portfolio relative to the Archstone portfolio of assets we're acquiring. And our expectation is that over the long run, there's a spread there that's probably in the 30 to 50 basis point range. And based on what visibility we have today, I wouldn't be surprised if that's what we would expect during 2013. I can't answer specific to Q4 right off the top of my head, but that's our expectation sort of long-term and sort of what we're seeing at least so far in 2013.
Ross T. Nussbaum - UBS Investment Bank, Research Division: So just to clarify, you're saying Archstone will be a greater, higher growth rate than your existing...
Sean J. Breslin: Correct, correct. Probably 30 to 50 basis points over the long run, that's correct.
Ross T. Nussbaum - UBS Investment Bank, Research Division: Got it, okay. Second question, on the Mid-Atlantic, can you help break out what was the new lease versus renewal growth in the fourth quarter? I'm trying to get a sense for just how precipitously the growth has been slowing there.
Sean J. Breslin: Sure. And it does vary by submarket. So to provide a little context there. Our experience recently has been that suburban Maryland and Baltimore regions have been a little bit softer in terms of overall performance. And it's been holding up a little bit better in the suburban Virginia market and in the core of D.C.. The one thing to keep in mind relative to D.C., at least for us, is our same-store basket in D.C. only represents 2 assets. So it's a little bit skewed there. And then in terms of rent change in the Mid-Atlantic, we were close to 4% on renewals in the fourth quarter, but slightly negative in terms of new move-ins in the fourth quarter. And again, there is some asset noise in there that moves things around, but those are the numbers overall for the Mid-Atlantic in the fourth quarter.
Ross T. Nussbaum - UBS Investment Bank, Research Division: Okay. Third question is on the capital market side, $700 million to $900 million of activity you plan on doing this year. Since you've terminated the interest rate lock you had, are you saying that, that's all going to be equity now?
Thomas J. Sargeant: Ross, this is Tom. One, we have not terminated that hedge, so I should probably emphasize that it's still outstanding. We're still evaluating the hedge and our capital markets activity for the year. What we're trying to telegraph is that if you look at the capital raising activity we've done over the last 2 years since we've put that hedge in place, we've done over $10 billion of new capital in the last 2 years if you -- through the Archstone transaction. In other words, if you take April of '11 through April of '13, we will have raised $10 billion of capital. And this is a company that normally would raise over a 2-year period $1.5 billion. So it's 7.5x to 10x what we normally would have done. And that is a very different, obviously, outcome than we thought we'd have in April when we did that hedge. So it's fair to say that we are reevaluating our need for debt capital in 2013 given the amount of capital activity we've had over a couple of years. And I would say that debt to EBITDA levels, which will be in the high 6% range upon closing, is something we'd like to work down. And to work that down, the quickest way to do it is to grow your EBITDA and not issue a bunch of debt. So we have somewhat of a very focused intent to get that debt to EBITDA number down, and that could impact our willingness to issue new debt in 2013, which would also therefore require us to break that hedge.
Ross T. Nussbaum - UBS Investment Bank, Research Division: Understood. Okay. Last question for me, I want to make sure we've got the right numbers in FFO in terms of what the non-cash impact is of the mark on the Archstone debt. Are we looking at a number that's somewhere in the $0.30 a share range that's embedded in the guidance?
Thomas J. Sargeant: Yes. Embedded in the guidance for the year is about $0.22. If you stabilize that, for a full year, it would be about $0.26. Also, that $6.15, it's important to remember that, that number is not a stabilized number. There's $0.15 of dilution in the first quarter because we're sitting on about $2.8 billion of capital. That's -- so if you think about that $6.15 and a $0.15 of dilution and then adjust for the full year, if you will, of that dilution -- or that accretion of $0.26, you get to an adjusted FFO number on a cash basis that's about 10% higher than last year, which approximates our dividend increase.
Operator: Your next question comes from the line of Jeffrey Spector from Bank of America Merrill Lynch.
Jana Galan - BofA Merrill Lynch, Research Division: This is Jana for Jeff. Can you give us your move outs to homeownership in fourth quarter? And while you think we're seeing homeownership rates may have bottomed from your earlier comments, do you think that they could hurt you as they move up given that most of your markets have pretty high home prices?
Sean J. Breslin: Yes, Jana, this is Sean Breslin. In terms of your first question on move outs due to home purchases, the 16% during the quarter is up about 80 basis points on a year-over-year basis but still well below our long-term average, which is closer to the 20%. And at this point in the cycle, all the markets are still fairly well below their long-term average with 2 exceptions, that being the Boston market, which is running around 24% compared to a long-term average of about 20%, and Seattle, which is running at 23%, which is consistent with its long-term average. And then in terms of maybe the broader question that you asked about the risk of home ownership, it certainly does exist and it probably exists more so in, I'd say, suburban assets and larger floor plans. One of the things we're trying to watch is the supply of available products certainly is being chewed up, I think as to Tim's earlier comments, in many of these markets. So the supply of inventory that's available is getting squeezed in certain places. And then to your point, particularly in our sort of least affordable markets, New York, San Francisco, Southern California as an example, that may start to come back in terms of increasing towards this long-term average for move outs due to home purchases. But it may be relatively gradual, just given the affordability. It's still more affordable relative to its historical levels, but still relatively unaffordable as compared to some of the more commodity markets and potentially some of the northeastern markets like Boston, like I mentioned.
Timothy J. Naughton: And Jana, this is Tim. Just to be clear in terms of our outlook as it relates to homeownership rates, we don't necessarily see them reversing dramatically. We see it, as I mentioned in my remarks, more of a balanced housing demand where marginal homeownership and our rental propensities are more in line with sort of longer-term averages. So we don't see it going back to 69%, where it was at the peak. It may drift up a little bit over the next few years, but that's what's embedded in our outlook, in our view of the housing market.
Jana Galan - BofA Merrill Lynch, Research Division: And on the acquisitions and dispositions planned, can you provide a spread on where you think you'll be selling and buying? And perhaps, how are you thinking about the dispositions, is it more market driven or more A versus B?
Sean J. Breslin: Yes, Jana, this is Sean again. In terms of dispositions and the spread on cap rates, historically, we've said it's probably somewhere in the neighborhood of 25 basis points dilutive in terms of what we'd be selling versus what we'd be buying. And then in terms of markets, we try to look at it from a number of different dimensions. First is sort of from a portfolio allocation point of view in terms of where we are, either over allocated or under allocated, considering the development pipeline that we have in those markets. So that is from a macro point of view. It sort of dictates which markets we look at. And then from that standpoint, then we kind of go to the next level which is at the submarket, trying to determine where we think we'll see outperformance or underperformance in terms of more attractive submarkets. And then that really drives picking a group of assets within a particular submarket where we would be trying to exit. So for us, what has meant more historically is we have pretty robust development pipelines, for example, in New Jersey and in Boston, we've been more active on the selling front there, whereas we've been relatively under-allocated in Southern California, some of the attractive submarkets there. So that's an example of how we look at it, and we'll take a similar approach this year. We have identified specific assets that we haven't telegraphed yet, which ones those are.
Operator: Your next question comes from the line of Alexander Goldfarb from Sandler O'Neill.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: Tom, I just wanted to go back on Ross's question on the capital issuance. I mean, it sounds like you're reading through that issuing unsecured debt is probably not likely if you guys want to bring down your debt to EBITDA. So should we be modeling in $700 million to $900 million of ATM issuance? Or what should we be doing for our assumptions for share count and ATM?
Thomas J. Sargeant: Yes. I think that you should -- as we said in my comments, it's not likely that we will be in the debt capital markets for additional unsecured debt. When I say not likely, that doesn't mean we precluded completely. We didn't specifically say what the $700 million and $900 million was, but there aren't a lot of choices left. So I think it's fair to say that we'd probably -- if we are looking to work down the debt to EBITDA, the best way to do that is not through debt but with equity and through NOI growth.
Timothy J. Naughton: Alex, this is Tim. In addition to that, depending upon where the equity markets are, we'd certainly be willing and able to expand dispositions as well. We're -- our outlook does call for us to be a net seller of assets and depending upon market conditions and what the best source of capital is. From a cost standpoint, we may be selling more assets. Later in the year, we may issue debt depending upon capital market conditions. So but I mean, that's just where we are.
Thomas J. Sargeant: Yes, that's -- then we could have changes in how much we'd expect to start for new development. There's a lot of levers to pull, but our focus really is on getting debt to EBITDA back down to near or below 6 in a reasonable amount of time.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: And then Tom, to that point, I know in the past you've mentioned adversity to a 30-year unsecured. But what about preferred or the 30-year nonqualified preferred, would that satisfy your equity component?
Thomas J. Sargeant: Yes, that's why I said that we didn't specify the $700 million and $900 million because there are other options. But if debt is less of an option, it would be -- the preferred would be interesting. That would then -- then you'd have debt and preferred to EBITDA calculations, which would still be high, so that's another consideration. But I think it's fair to say that we're very focused on restoring that debt to EBITDA number and pulling levers internally to drive that number down quicker.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: Okay. And then second question is, can you just walk us back through, it sounds like you guys had a European-style hedge or a hedge that could only be used during a certain time, $55 million is a lot of money. So can you just provide some framework for how much this hedge was going to be used against? And on a go forward basis, when you guys get pitched to do hedges in the future, are you going to just immediately say no? Or there is a spot for hedging in AvalonBay in the future?
Thomas J. Sargeant: Yes, well, Alex, we don't get pitched to do hedges. We go out and talk to our bankers based on our view that we want to do a hedge. No one talks us into anything, so no one talked us into that hedge back in 2011. So if you look at our general plan, we had $215 million hedged against the planned issuance of $430 million. And at the time, we had a wall of debt coming due in 2013 that we wanted to protect against. The hedge was done in April of '11 when rates were about 3.4% for 10 years, it's spiked up. And so, I can't say that we won't do hedges in the future. I can say that there's an appropriate use of hedging and that you should think of hedging as if we issued debt in April of '11. And in November of '10, we issued debt at 3.95%. We're all high-flying at the lowest issuance ever on a debt deal, and that's probably $30 million out of the market right now. And so, it's like issuing debt. And if you look at that hedge, you have to think of the all the other debt we've issued at 4%, 5%, 6%, 7%, 8% and say, "Gosh, why didn't you think about that? Why didn't you know rates were going to fall to the point where you could get to 2.85%?" So I'll stop my diatribe now, but that concludes my remarks on the hedge.
Operator: Your next question comes from the line of Eric Wolfe from Citi.
Michael Bilerman - Citigroup Inc, Research Division: It's Michael Bilerman, and I'm here with Eric. Tim, I just have a question, in a month's time you're going to have -- when the Archstone deal closes, the Lehman Estate is going to step in and be your largest shareholder. They're going to have about 15 million shares of your stock. And I'm just curious how going forward you're going to think of them, how proactive you will be, and at some point over the next 5 years, they're going to have to sell down that stake. And so, I'm just curious how you're going to approach it being reactive or proactive, also knowing that you'll need capital at some point, you'll want to keep leverage down and things like that.
Timothy J. Naughton: Well, the registration rights were heavily negotiated as far as transactions to make sure we both had access ultimately to the capital markets, which was in both of our best interest, to allow the other party to have access to the capital markets. In their case, to sell down their position; and our case, to continue to fund the business. So Mike, we try to contemplate in terms of how we negotiate the transaction upfront. There weren't any board seats. So they wanted to have the freedom to be able to access the markets when it made sense, and I really don't know how they intend to reduce their position over time, whether it's over a lengthy period of time or whether they may want to do underwritten offerings or just sell into the -- just average down by selling into the open market. But I'm not sure I fully grasped your question, but we try to contemplate what the relationship might look like frankly in the way that we negotiate the registration rights.
Michael Bilerman - Citigroup Inc, Research Division: Well, I guess more so, we've seen in some other cases where some companies have had large shareholders, in some cases, they bought back stock; some cases, they've bought back other shares and they've worked together. Are you going to treat them like any other shareholder? Or try to understand that they're a 10% holder and there's some level of overhang that's on your stock until that gets rectified?
Timothy J. Naughton: To be determined, Michael.
Michael Bilerman - Citigroup Inc, Research Division: All right. Eric, had some questions.
Eric Wolfe - Citigroup Inc, Research Division: Yes, just a quick one on your comments about supply peaking in 2013 and perhaps tapering off in 2014 and 2015. I'm just curious how much visibility do you see -- do you have today into supplying those years, and whether you think the trend of investors looking for more coastal exposure is going to continue or, like you said, that they're going to broaden their bases a bit out to the Sunbelt markets?
Timothy J. Naughton: Well, they've already broadened their base, Eric. I mean, obviously, it starts -- I mean, our deliveries are peaking in 2013. I meant, parts are probably peaking in 2011 into early 2012. And so, we've already started to see a movement from many of our competitors to start focusing on some of the other markets, where, frankly, the perceived cost of capital goes a lot further in terms of being able to get into the ground a lot quicker. I'm thinking a lot about the merchant builders in particular, whose business follows [indiscernible] quite a bit on fee generation. In terms of visibility in our markets, it's pretty good. I mean, we built it ground up through -- by working with -- between our research group and our local franchisees and identify every project that's out there. We handicapped the likelihood and the timing of when the deals might go forward. And generally, we've had -- we've been pretty accurate with respect to our expectations there. So as it relates to other markets, obviously, we have a lot less visibility. We depend a lot more on third-party estimates there. But -- and I think what you'll find if you go and you look at some of the research houses' estimates, it's showing that the surprises to the upside on product that's typically been in markets where it's just been easier to get into the ground. So we've definitely seen a bit of, I don't know, if it's a, say, a pullback, but definitely, a number of our peers, they're looking to go back and do business with some of the other markets in which, frankly, in many cases they came from or where their own sponsored capital goes much further.
Operator: Your next question comes from the line of Richard Anderson from BMO Capital Markets.
Richard C. Anderson - BMO Capital Markets U.S.: Tim, a question for you. What came first, this analysis into 2014, 2015 in terms of supply and the kind of recovery of fundamentals versus 2013 or your decision to pull the trigger on Archstone? I'm wondering how much of that kind of movement in your markets influenced your decision to take a leap at Archstone.
Timothy J. Naughton: Yes, I don't know that, that was a driver, Rich. I mean, obviously, it's a unique situation, a unique opportunity. I think what helped framed our positive outlook in Archstone is a belief that we are not late in the cycle right now and that this cycle, in some ways, has -- shares more characteristics with the '90s than it does the 2000s. And so, we did enter this with the belief that we still had a few more years to run here. As it relates to whether that meant '13 or '14 was going to be stronger, I don't think that was particularly relevant to the decision. And then secondly, I'd say, just the ability to do what we've been trying to do from a portfolio standpoint and by being able to team up with EQR and therefore get more of the part of Archstone that we wanted and they got more of what they wanted, that was extremely attractive to us. And then you can't -- you just can't decouple just the ability to structure the transaction in a way that was appropriate risk from our standpoint in terms of how it's executed.
Richard C. Anderson - BMO Capital Markets U.S.: But if you'd seen 2013 was going to be a slowdown, 2014 another one, going negative in '15, but then you obviously make investments with a long-term mindset, had no impact, right? Are you still -- you still would say that?
Timothy J. Naughton: No, I'm not saying that. No, I'm not saying that. I'm saying our view on the markets was that generally, we had a decent run ahead of us to the extent that we thought '14 and '15 were turning down significantly, it would have impact pricing evaluation.
Richard C. Anderson - BMO Capital Markets U.S.: Yes, okay, fair. Okay. Sean, a question for you. When you went through and looked at the 2013 outlook in all the different markets, we have the numbers now in terms of what will outperform and underperform and kind of market perform. But where there any markets that when you kind of went through the budgeting process, you said, "Wow, this is much worse or much better than I thought it was going to be now that we've done the analysis?" Are any -- what were the standout surprises in your mind?
Sean J. Breslin: Rich, I'm not sure there were any real standout surprises. I mean, it's all relative to when you were thinking about it, I guess. But I don't think there's anything different from what we expected based on where we were at mid last year; how the portfolio was trending in the second half of the year; expectations for job growth; as Tim mentioned, the ability to have good visibility on supply. I mean, those factors were fairly well in place at that point. I mean, what you'd be looking for is significant changes in a -- from a macro point of view and in certain markets, particularly D.C., has yet to be seen in terms of what that impact is, so you run some sensitivities around that in terms of where you think it'll be. But I don't think the nature of the issues are materially different than what we would have expected 3 to 6 months ago. The question is how sensitive the portfolio will be in certain macro events. And I'd say at this point in time, it all comes down to jobs, it comes down to jobs from a macro point of view; it comes down to jobs specifically as it relates probably more so to D.C. than most markets since it has a fair bit of supply coming as we all know; and then as Tim mentioned, how much unbundling continues to occur as people start feeling better about the broader economy overall.
Richard C. Anderson - BMO Capital Markets U.S.: Okay. And then last to Tom. I guess if you have -- starting in the second quarter of '13, if you have, I guess, $6.3 billion of total debt when you kind of move everything around, what are you guys forecasting for? I suppose I can do the math, but what are your forecasting for 2013 interest expense when you kind of wrap all of these, everything, together?
Thomas J. Sargeant: Well, we didn't specifically provide outlook on interest expense. I think I'd refer back to debt to EBITDA, and that is that debt to EBITDA would be in the high-6s in April following the close. It would work its way down to about 6.2 by the end of the year. And I think you can back into the numbers based on that.
Timothy J. Naughton: We did give the expected interest -- effective interest rate on the Archstone.
Thomas J. Sargeant: We did. You have everything you need to make that calculation, Rich.
Richard C. Anderson - BMO Capital Markets U.S.: I just rather not do the work, if you don't mind. And then the last --
Thomas J. Sargeant: Call me after the call, and I'll do it for you.
Richard C. Anderson - BMO Capital Markets U.S.: Okay. And then just lastly for you, Tom, 73% unencumbered Avalon portfolio. What's the number including Archstone?
Thomas J. Sargeant: It will go down into the low 60s.
Operator: Your next question comes from the line of Dave Bragg from Zelman & Associates.
David Bragg - Zelman & Associates, LLC: Just building on these last 2 questions. I'm thinking about this potential reacceleration in '14 and '15. It looks like permitting activity in your markets is up on a year-over-year basis in 2012. I think we'd probably agree single-family housing won't be less of a threat in '14 and '15. So do you need better job growth than the 1.1% that you're expecting for 2013 for this to happen?
Timothy J. Naughton: Dave, Tim. Yes, and our expectations are that the -- as I mentioned, we do expect the economy to sort of hit a higher sustainable growth rate. Most third-party projections are north of 2% for both '14 and '15 where annual job growth going from, call it, 1.8 million nationally to over 3 million. So yes, it is our expectation that job growth would be in the 2% range, maybe a little bit greater where you've got apartment starts going from the mid-1s, call it, as a percentage of the housing stock, down to the lower-1s where you'd have very favorable supply/demand fundamentals as a result.
David Bragg - Zelman & Associates, LLC: Okay. And are you currently underwriting in any markets a reacceleration like this?
Timothy J. Naughton: It depends on the market and the submarket, actually. We actually have a unique growth profile for every submarket which we do business. And in some cases, it does move around a little bit, like in EKG, sometimes it goes down, sometimes it actually goes up in years '14 and '15. So overall, I will tell you that yes, our growth -- our estimates for growth in '14 and '15 in many markets are better than they are in '13.
David Bragg - Zelman & Associates, LLC: Okay. And just last question on this topic. If that starts to become a consensus in terms of better job growth in '14 and '15, why would supply subside in these markets?
Timothy J. Naughton: Well, we are already seeing what's happening with starts, Dave. And again, I think in our markets -- I can't really speak as much nationally, but in our markets, we do have a lot of visibility with respect to what's actually happening, what's financed, what's getting started, and have a pretty good sense of how that might be delivered. Now in some cases, we're handicapping deals. We may be assigning a 75% probability to the extent that the markets get a lot more blend than you may -- we may rehandicap, that's 100% probability which would impact our numbers at the margin. But based on what we're seeing today in terms of what's starting and what is going to deliver, which oftentimes in our markets particularly in these urban and infill, David, it's a 7- to 10-quarter gestation period from the time you start to the time the units actually get delivered into the market.
Operator: [Operator Instructions] Your next question comes from the line of Karin Ford from KeyBanc Capital Markets.
Karin A. Ford - KeyBanc Capital Markets Inc., Research Division: Just one question, I guess, following up on Rich's as well. How much does the expectation of a potential reacceleration in 2014, 2015, how much did that figure into the decision to have $3 billion under development by year end? And if you looked in your crystal ball a few months from now and you thought maybe rent growth was flattening out instead, would you look to potentially pull back on that development pipeline through the course of the year?
Timothy J. Naughton: That would be on a case-by-case basis. The economics of the development pipeline are still very compelling. On average, the $1.8 billion that's under construction, it's got a projected yield of 6, 7. The underlying economics of the shadow pipeline, the $2.8 billion, are very similar. The deals that we put under contract this year and added to the pipeline are very similar, high-6s. And as long as cap rates are 5-ish, low-5s, there's a lot of value there to be created. But there -- to the extent rental rates flatten out or go negative in markets, it's going to impact some deals at the margin. But it wouldn't necessarily be -- in my view, necessarily a strategic shift, let's say, we're just going to cut the development pipeline and have -- not with -- other than maybe what's happening in the capital markets.
Operator: Your next question comes from the line of Paula Poskon from Robert W. Baird.
Paula J. Poskon - Robert W. Baird & Co. Incorporated, Research Division: Could you remind us of your expectations for CapEx needs and any redevelopment opportunities in the Archstone portfolio?
Sean J. Breslin: Sure. Paula, this is Sean Breslin. Maybe taking your second question first in terms of the redevelopment pipeline. We do expect that there will be opportunities in the Archstone portfolio. We've not quantified that yet in terms of exactly what that means. But we do know over the last several years, Archstone has certainly done a fine job maintaining the assets. But there's not been a significant investment in enhancing the assets and looking for opportunities to reposition those assets in certain markets and submarkets. So I think there's plenty of opportunity there, we just haven't quantified it just yet. We'll be doing that as we go through 2013. And then in terms of our CapEx overall, we don't expect it to be materially different from our portfolio. In the 500 to 600 unit range typically is where it's been running. We'll probably be a little bit higher than that in '13 based on some enhancement activity that we're doing and some leasing offices and things like that. But it's not going to be materially different, probably marginally higher, just given the ages -- the age of assets is a little bit older and some of the high-rise, but not materially different.
Paula J. Poskon - Robert W. Baird & Co. Incorporated, Research Division: And I'm going to borrow Karin's crystal ball to follow up on Jana's question about dispositions. If you sell everything according to plan from your own portfolio, looking back, do you think you would have sold more to your public peers or to the private side?
Sean J. Breslin: In terms of what we've been selling in the past year you're referring to, Paula?
Paula J. Poskon - Robert W. Baird & Co. Incorporated, Research Division: To your plans for this year.
Sean J. Breslin: Oh, plans for this year. It really varies by asset in terms of who the prime buyers are. Generally, suburban garden product, you're finding that the private leverage buyers are all over that. And the cap rates with the low leverage debt that they can secure nowadays are pretty attractive. Core infill urban high-rises, it's institutional or REIT peers are the main buyers. I mean, the San Francisco asset I mentioned was sold to a pension fund adviser, as an example versus the other 2 fund assets we sold in the fourth quarter were private leverage buyers. So there's not probably one answer to that question. It depends on the market and the product more than anything else.
Operator: There are no further questions in queue. I turn the call back over to Mr. Naughton for closing remarks.
Timothy J. Naughton: Well, thank you. And we appreciate all of you being on the call today, and we look forward to seeing many of you at the Citigroup CO Conference in early March. Have a great day. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect.